Operator: Greeting, and welcome to The Chefs' Warehouse Fourth Quarter of 2023 Earnings Conference Call. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Alex Aldous, General Counsel, Corporate Secretary and Chief Government Relations Officer. Please go ahead, sir.
Alex Aldous: Thank you, operator. Good morning, everyone.  With me on today's call are Chris Pappas, Founder, Chairman and CEO; and Jim Leddy, our CFO. By now you should have access to our fourth quarter 2023 earnings press release. It can also be found at www.chefswarehouse.com under the Investor Relations section. Throughout this conference call, we'll be presenting non-GAAP financial measures including, among others historical and estimated EBITDA and adjusted EBITDA as well as both historical and estimated adjusted net income and adjusted earnings per share.  These measurements are not calculated in accordance with GAAP and may be calculated differently in similarly titled non-GAAP financial measures used by other companies. Quantitative reconciliations of our non-GAAP financial measures to their most directly comparable GAAP financial measures appear in today's press release. Before we begin our formal remarks, I need to remind everyone that part of our discussion today will include forward-looking statements, including statements regarding our estimated financial performance. Such forward-looking statements are not guarantees of future performance and, therefore, you should not put undue reliance on them. These statements are subject to numerous risks and uncertainties that could cause actual results to differ materially from what we expect. Some of these risks are mentioned in today's release. Others are discussed in our annual report on Form 10-K and quarterly reports on Form 10-Q, which are available on the SEC website. Today, we are going to provide a business update and go over our fourth quarter results in detail. Then we will open up the call for questions. With that, I will turn the call over to Chris Pappas. Chris?
Chris Pappas: Thank you, Alex and thank you all for joining our fourth quarter 2023 earnings call. Business activity coming out of September strengthened into the fourth quarter as seasonal customer demand and volume trends progress through November and December to close out 2023. Price inflation continued to moderate and our Chefs' Warehouse teams across our North American and international markets delivered strong organic growth and margin improvement. As we move into 2024, I would like to thank all of our CW teammates for the dedication and passion they have for our mission to discover and deliver the finest specialty foods, fresh produce and center-of-the-plate protein that inspire the culinary creativity and feed the success of our customer and supplier partners, as we strive for excellence and impeccable service. As a reminder, we are comparing the fourth quarter of 2023, a 13 week fiscal quarter for the fourth quarter of 2022, a 14 week fiscal quarter and as such we will present certain results both as reported and on a prorated 13 week comparison. A few highlights from the fourth quarter on a prorated basis include 11.3% organic growth in net sales, specialty sales were up 11.2% organically over the prior year, which was driven by unique customer growth of approximately 12.4%, placement growth of 6.5% and specialty case growth of 11.3%. Organic pounds in the center-of-the-plate were approximately 8.4% higher than the prior year fourth quarter. Gross profit margins increased approximately 38 basis points. Gross margin in specialty category decreased 76 basis points, as compared to the fourth quarter of 2022, while gross margin in the center-of-the-plate category increased 71 basis points year-over-year. Specialty gross profit margins were lower primarily due to the addition of Hardie's. Excluding Hardie's, specialty gross profit margin increased approximately 35 basis points versus the prior year quarter. Jim will provide more details on gross profit and margins in a few moments. During the Q4, we completed multiple steps as part of our ongoing focus on harvesting our investments in warehouse and distribution capacity in recent acquisitions. These projects involve both consolidation of distribution center, routes and operations in certain markets as well as further integration of acquired sales teams distribution and cross selling with our existing specialty and protein businesses in key markets across our network.  A few highlights are; in Florida, we completed the consolidation of three facilities into our new distribution center located in Opa-Locka. We now have meat and sea food processing specialty and produce distribution operating under one roof with significant room to grow over the years to come. We initiated operations in our new distribution center located in Southern New Jersey serving the Philadelphia and Pennsylvania market. This facility provides expanded capacity in a region as well as creates additional room for growth in the New York Metro and Mid Atlantic markets. In Dallas and Austin, Texas, we have begun the process of cross selling our specialty and Allen Brothers protein distribution with Hardie's is facilitated by a combined sales force and route consolidation in the initial stages. We have reduced facility related costs in Houston and are working on future distribution plans in the state's largest market. Our expansion in Dubai continues to progress and we anticipate commencing operations out of the additional capacity in the second half of this year. Our consolidation of protein processing in Northern California is on-track to begin a phased-in move starting in the second quarter of 2024 and progressing through the end of the year.  For 2024 and beyond, we expect to leverage our expanding infrastructure, further integrate recent acquisitions, while strengthening the balance sheet, focusing on free cash flow generation and delivering our two year capital allocation plan. As we enter this next phase of our growth, we expect Chefs' Warehouse to remain rooted in our DNA as the leading specialty food marketer and distributor to the upscale casual and higher-end dining establishments in the markets we serve. With that, I'll turn it over to Jim to discuss more detailed financial information for the quarter and an update on our liquidity. Jim?
Jim Leddy: Thank you, Chris, and good morning, everyone. I'll now provide a comparison of our current quarter operating results versus the prior year quarter and provide an update on our balance sheet and liquidity.  Our net sales for the quarter ended December 29, 2023, increased approximately 29.3% to $950.5 million from $734.8 million in the fourth quarter of 2022, which represents a prorated 13 week net sales for the fourth quarter of 2022. Net sales on a reported basis, 13 weeks compared to 14 weeks, increased 20.1%. The prorated growth in net sales was a result of an increase in organic sales of 11.3% as well as the contribution of sales from acquisitions, which added approximately 18% to the sales growth for the quarter. Net inflation was 1.8% in the fourth quarter, consisting of 0.6% inflation in our specialty category and inflation of 3.4% in our center-of-the-plate category versus the prior year quarter. Gross profit increased 31.4% to $228.6 million for the fourth quarter of 2023 versus a prorated $173.9 million for the fourth quarter of 2022. On a reported basis, comparing 13 weeks to 14 weeks, gross profit increased 22%. Gross profit margins increased approximately 38 basis points to 24.1%. As mentioned on our third quarter call, gross profit dollar growth and margin trends improved significantly coming out of the softer summer months. These trends continued as the quarter progressed into the holiday season and our teams across our regions including sales, operations, procurement and all the supporting functions delivered a strong margin performance, while providing the premium quality product and service our customers have come to expect from The Chefs' Warehouse. Selling, general and administrative expenses increased approximately 23.8% to $190 million for the fourth quarter of 2023 from $153.4 million for the fourth quarter of 2022. The increase was primarily due to higher costs associated with compensation, including benefits, facility costs and distribution costs to support sales growth in the current quarter. On a prorated basis, adjusted operating expenses increased 33% versus the prior year fourth quarter and as a percentage of net sales, adjusted operating expenses were 17.8% for the fourth quarter of 2023 compared to 17.3% for the fourth quarter of 2022. Operating income for the fourth quarter of 2023 was $38.2 million compared to $29.8 million for the fourth quarter of 2022. The increase in operating income was driven primarily by higher gross profit and lower other operating expenses, partially offset by higher selling, general and administrative expenses versus the prior year quarter. Income tax expense was $10.1 million for the fourth quarter of 2023, compared to $4.3 million expense for the fourth quarter of 2022. Our GAAP net income was $16 million or $0.38 per diluted share for the fourth quarter of 2023, compared to net income of $1.2 million or $0.03 per diluted share for the fourth quarter of 2022. On a non-GAAP basis, we had adjusted EBITDA of $59 million for the fourth quarter of 2023 compared to $50.1 million for the prior year fourth quarter. Adjusted net income was $20.2 million or $0.47 per diluted share for the fourth quarter of 2023, compared to $18.2 million or $0.46 per diluted share for the prior year fourth quarter. Turning to the balance sheet and an update on our liquidity. At the end of the fourth quarter, we had total liquidity of $221.9 million comprised of $49.9 million in cash and $172 million of availability under our ABL facility.  Total net debt was approximately $662.5 million, inclusive of all cash and cash equivalents. And net debt-to-adjusted EBITDA was approximately 3.4x as compared to approximately 3.6x as of the end of third quarter of 2023. Turning to our full year guidance for 2024. Based on the current trends in the business, we are providing our full year financial guidance as follows; we estimate that net sales for the full year of 2024 will be in a range of $3.625 billion to $3.775 billion. Gross profit to be between $865 million and $900 million and adjusted EBITDA to be between be between $205 million and $218 million.  Our full year estimated diluted share count is approximately 44.9 million shares. For reporting purposes, we currently expect our senior unsecured convertible notes maturing in 2028 to be dilutive for the full year and accordingly, those shares that could be issued upon conversion of the notes are included in our fully diluted share count. Thank you. And at this point, we will open it up to questions. Operator?
Operator: Thank you. Before we start the Q&A, we just want to remind everyone that a reconciliation of the non-GAAP financial measures to the most directly comparable GAAP financial measures can be found in the Investor Relations section of the company's website and in today's press release. Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Alex Slagle of Jefferies
Alex Slagle: I wanted to ask about the outlook for '24 and maybe I guess first, if you can provide some expectations on the magnitude of impact related to acquisitions that are rolling over into '24, and get any sense for the cadence, what that looks like, assuming no other transactions?
Jim Leddy : Yes, in terms of the acquisition wrap impact. We had sized that previously right around 2.5% to 3%. And then in terms of the outlook for 2024, was that the first part of your question?
Alex Slagle: Yes.
Jim Leddy: We started off with January. It's a pretty good month. Obviously, there was some weather impact that we saw in some of our markets, but actually January is relative, it's always the worst month in the industry, really for our company and the entire industry. But actually our teams executed very well during the month and we had a pretty good January and it feels like the usual build coming out of January into February is taking place. So right now, we're sticking with our guidance and go from there.
Alex Slagle: The expectation for the elevated operating expenses continuing through the first half, as we think about the typical first quarter, second quarter cadence of EBITDA. I mean, the first quarter is usually only 14%, 15% of your annual EBITDA. Are we kind of getting back to that normal seasonal cadence or the OpEx expenses? Should we expect that to be more elevated?
Jim Leddy: Yes. We wrapped the increased rent from Florida and kind of midway through the year and then we'll wrap the impact of the additional New Jersey rent in the third quarter. There are some elevated expenses continuing in the first half of year. But the percentages in terms of EBITDA returning to more normal than they have the past three or four years for sure.
Operator: Our next question comes from Todd Brooks of Benchmark Company. 
Todd Brooks: Thanks for the questions and congrats on the Q4 results. Couple of quick questions for you. One, I know as part of the new two year capital allocation plan, you guys did put a share repurchase in place and did some work with your lending partners to be able to execute against that. Just not much evidence of it in what the full quarter share count was, but were you active on the plan at all in the fourth quarter?
Jim Leddy: No. We actually put it into place well through the fourth quarter, about almost halfway through and we hadn't executed any of it as of the end of fourth quarter.
Todd Brooks: Okay. But I think in your full year guidance, what you pointed to for fully diluted 44.9 million does that imply some repurchase anticipated over the course of '24?
Jim Leddy: No. What it really implies is that we expect to cash settle the '24 converts to $39 million that mature at the end of 2024, and so we don't expect them to be fully dilutive for the entire year. The previous estimate, as you know, 45.7 million. You just pretty much take out those 900,000 shares associated with the 2024 converts and that gets you to the 44.9 million.
Todd Brooks: Another one, Chris. I'd love to hear, I'm just looking at the unique customer growth and it seems to be accelerating nicely on a year-over-year basis over the past several quarters, what are the drivers there? And what's the tail to the ability for Chefs' to go out and add new customers to the fold as you look into '24? 
Chris Pappas: Yes. Great question, Todd. Again, we continue to hire and train new salespeople to the team and that's been our engine driver for almost 40 years now. As much as we are using digital to grow awareness and take more and more of our orders, the actual orders that are coming in from customers, which is freeing up the sales team to go out and continue to open more customers.  It really is -- it's such an important part of our growth because natural attrition for various reasons as sticky as our customer base is, I mean, we've had customers now for over 30 years. You got to have new customers constantly coming in. It's just the nature of who we sell? We sell to independent restaurants and as they mature, their leases sometimes mature out and many other reasons why there's turnover but let's face it. Customers love new restaurants and restaurant tours like to open new restaurants. We feel that's where we're winning. Most of the customers that are opening in the territories that we sell, I think Chefs’ is the dominant partner and I think that's what's driving that number.
Operator: Our next question comes from Mark Cullen of UBS.
Mark Cullen: It sounds like sales got stronger sequentially as the quarter progressed, reflecting some seasonality. Just to clarify, did you guys also see the rate of growth pick up in each month when you adjust that extra week? And then any specific callouts with respect to demand and the amount of trade down you're seen. Is it more or less than you guys might have expected? Thanks so much.
Chris Pappas: Thanks, Mark. No, the cadence in the quarter, I think, as you pointed out was pretty typical of a normal season prior to the many years that COVID volatility impacted seasonality. We talked about on our Q3 call. We saw strength in demand and margin in September coming out of the weaker summer months. I think October and November were kind of very typical October and November from a seasonal perspective. And then December was, I think the 1 December, the 3 weeks between Thanksgiving and Christmas, that you really saw the corporate parties come back, the level of events come back to pre-COVID levels. I think in '22, you saw a little bit of that but it wasn't completely back, and so I think those were three very strong weeks, and that I think that really helped the quarter get back to what we would call a normal fourth quarter.
Mark Cullen: And then you guys inflation moderated in 4Q. Do you think it's bottomed out at this point? And just how do you see it shaping up in '24 at this point?
Chris Pappas: I would say we don't really predict inflation, but what we expect right now and what we see is, in aggregate, I mean, we have 70,000 products going through our distribution centers. Some are inflationary, some are deflationary, but in aggregate, what we've seen so far in the beginning of the year is kind of a continuation of what we saw in the fourth quarter, which was moderate kind of low to mid-single digit type of sequential and year-over-year inflation with a little bit of a mix on certain products. Right now, you have things that are cocoa based like chocolate, you have olive oil affected by droughts. You have a couple of daily dairy products that are inflationary. But overall, you're kind of seeing moderate inflation so far this year and we kind of expect that to continue.
Operator: Our next question comes from Kelly Bania of BMO Capital Markets. 
Kelly Bania: Just wanted to talk about some of the acquisitions. Obviously, several have been flowing in for the last couple of quarters. But maybe can you just talk a little bit more in detail about how they're performing? It seems like, there might be some top line upside coming in from one or more, but correct me if I'm wrong. And maybe just help us understand how you're finding those acquisitions getting integrated to the broader Chefs' Warehouse network?
Chris Pappas: I think things are going very well, Kelly. I think the team has their arms around the acquisitions from the past 2 years, and you could see from our growth, we call it hybrid growth. I call it right now. As companies become comfortable as part of with The Chefs' Warehouse a family of companies. We sought to share best practices in many of the acquisitions we've already put them on our computer systems. They could start to see other warehouses and what products are available and the sales team starts to meld together. I think that's really what's been the driving force behind our continued growth for the past many years.  We are not at anywhere near the finish line of what our expectations are, but every day we get better and I think that shows in the numbers. We continue to cross sell each other's customers and that's really the focus, right? We built these new warehouses and continue to build the warehouses and markets that we have three, four independent businesses. We are here in Florida today and this is one of our newest facilities, where we are able to sell proteins and dairy and some produce and all our specialty and dry goods and combine them on the same trucks and we'll continue to get the synergies and that's what's going to drive the bottom line over the next many years.
Kelly Bania: Just wanted to follow-up on a couple more questions. You mentioned the sales force and growth there. It seems as though some of the big broadliners are maybe also increasing sales force headcount more than in recent years. I guess the question is, are you seeing that same dynamic across many of the private and specialty competitors that you compete more directly with on a day-to-day basis? And maybe just remind us of the size of your sales force and the growth in headcount this year and in coming years that you expect?
Chris Pappas: From the street perspective, I think we always see some new people. What we hear from all our leaders is, again, everything is so expensive today. When you hire people, the benefits are really expensive that's if you put them on the road, car expenses are very expensive. I think our view as you know continue to use technology to free our team up. I think that it's going more and more into what I call a team sell. I think I've been saying this for the past five, seven years that my vision is there's over 1,000 people in the sales department with all our companies. It's quite a big people in sales, but it's really leveraging them and having them do more calls on new customers, more calls to their existing customers, introducing new products, as we continue to integrate in all the regions that we have Chefs' Warehouse protein businesses now with our other businesses and now produce.  So it's really doing more with less. I think that's the key and I think every company is facing that and is trying to do the same thing whether you're one of the giant $70 billion public companies or you're a small independent in the marketplace, you're going to have to get leverage because everything is more expensive. Everything is inflated especially the last five years. It's so important to get more efficient and larger drops to get the leverage on your overhead.
Kelly Bania: And just maybe last one. Doesn't sound like there's any issues here, but maybe just talk about your ability and cost in getting some of the products that you import over from Europe, in today's market conditions and just remind us what percent of your products are coming from there? 
Jim Leddy: So there I mean, there hasn't been really impact from what's happening in the Red Sea to our U.S. or North American businesses. So logistics prices have obviously come way down since the crazy COVID prices, and kind of settled in a range that are a little bit higher than before but not insane. So, we haven't really had much difficulty coming from Europe. We don't really disclose the percentage that comes from Europe. We have had a little bit of some bumps with our Chef's Middle East business with some of the product that comes via the Red Sea, but they've done a great job of mitigating that, and it seems that the price impacts are being felt really by the entire market there and being passed on and customers and restaurants are adapting their menus and adjusting just like they would during any kind of supply chain disruption. But it hasn't been material to date, and the team over there is doing a great job of managing substitutions and working with customers, et cetera. So, I would just say, overall, the logistics environment hasn't really had a lot of volatility over the last 6 months or a year that we experienced over the first 2 or 3 years post COVID. 
Chris Pappas: Yes. Kelly, just to add a little bit -- a little more insight to that. Again, I think ever since COVID, everybody, all our partners in from over 2,000 suppliers in 40 countries, kind of have adapted. Everybody keeps more inventory now because the world is in a pretty volatile state, right, with two wars going on and we've got climate change impacts. So, I think everyone's gotten kind of ahead of it, right? So, in the U.S., like Jim said, I think everybody was -- everybody always anticipates some sort of disruption. So we're kind of way ahead of it. Our inventory is fine, the team is all over it. And as Jim said, in Dubai, which is our major warehouse, they had a great December. Business was strong and I think any pressure came because it was so strong, the demand was there. And it's an incredible team there that is very seasoned and they're accustomed to dealing with something going with the logistical challenges and they try to get ahead of it way before something happens. So I think we're good. 
Operator: Our next question comes from Andrew Wolf of C.L. King. 
Andrew Wolf: I wanted to ask about the guidance, in terms of the margins, EBITDA margin. So at the midpoint of sales and EBITDA expands about 10 basis points in '24 from '23. And gross margin at the midpoint is more than that closer to 20%. So from Alex's question, it appears you guys are looking at the first half being sort of heavy on OpEx and then starting to improve.  So I just wanted to get the sense kind of, if you could sort of dive a little more into the cadence of margins, as they flow for the year both. How you see particularly the OpEx where the business is deleveraging? I know you're not said it well, actually at ICR you did talk about longer-term guidance. Just how you do see the OpEx leverage really being reestablished? Is it going to sort of be, like -- is it going to get greater and greater once you start to establish it? Is that how you view it in getting margins up to that 6% to 7% long-term goal?
Jim Leddy: Yes. Thanks, Andy. Just in terms of the guidance and the cadence through the year, it's a range. I mean, if you look at our EBITDA guidance, it's $205 million to $218 million. I think the midpoint adjusted EBITDA margin percentage is conservative. I think there's a chance that could be improved. We do still have some of the near-term cost headwinds related to all the growth investments. We talked about that at ICR and on our third quarter call. That's mainly in the first half of the year. In the back half of the year, we expect to start to get a little more leverage and then it's really about '25 and '26.  I would just go back to Chris' comments. We expect to drive organic volume through this incredible amount of capacity that we've invested in and added in key growth markets over the next couple of years. It'll begin in '24, but we still have, as I mentioned some of the -- we haven't wrapped some of the larger rent investments and some of the other growth related costs, but those will dissipate a lot of the transition costs that we've experienced related to the significant amount of M&A we've done over the last two years that will start to decline. And so, it's going to be gradual.  Combine that with improving adjusted EBITDA margins and key investments like Hardie's in Texas, which is a key strategic decision to enhance and accelerate our platform for growth in Texas, which is a huge growth market. They're diluting us initially. I think we're a little bit above 5.6% for the full year of '23. If you excluded the dilutive -- the initial dilutive impact of adding Hardie's, we'd be very close to what we delivered in 2022, we'd be around 5.9%, in 2022, we delivered 6%.  It's really just about driving the organic volume through these significant capacity investments and then improving the adjusted EBITDA margins over time, as we integrate this kind of 15% of our revenue base that comes at a lower EBITDA margin percentage.
Andrew Wolf: Just speaking of Hardie's and I know you had other acquisitions that were similar, smaller I think, but similar where you're able to margin them up, I think 300 basis points into Boston acquisition. Could you just give us a sense of that, like is it more rightsizing the business or is it more the cross sell, which I guess it is more the latter but what percent of the customers are you kind of is the right goal either based on experience or how you're modeling it that you want to cross sell to and what kind of penetration? And how does, just give us a sense of what needs to happen for that acquisition to really move the right way? 
Chris Pappas: Yes. Thanks, Andy. Every market is unique, right? So obviously, New York is our first business and our biggest market and our biggest business out of one Opco, right? San Francisco is quite big when you look at all the businesses that we own. So each -- we go through a very, very thoughtful process before we make an acquisition. And as you know, you've been following us for a long time. To get the footprint, we've had to it's much more effective unless you're annexing the market next to you, which is typical in the distribution business, right? If you're a typical distributor, which we're not, we always say we're a marketing company that also distributes and that's our strength, right, with over a thousand of our own vehicles in the streets every day. We control most of our own destiny bringing these wonderful products to market. So, in the case of Texas, since we're talking about it, the thought process of we know Texas is going to be a big market. Obviously, a lot of people have moved to Texas and continue to move to Texas for various reasons in the past 5, 6 years. More of our customers are opening to Texas. They want us to serve them there. And now we have an Allen Brothers cut shop facility which is doing phenomenal. We have a Chefs' Warehouse which we put together with some small acquisitions just to get enough business to get the warehouse moving. We bought some noncore businesses, but that's when we realized what an opportunity it was because there really was nobody in Texas to buy who was like -- that's always the great thing is there's nobody like Chefs’ really that puts the amount of 2,000 artists and vendors from around the world together in one building and has the logistical expertise and the ability to train a sales force, which does take time.  So really, when we looked at Hardie’s, they were not at Chefs' Warehouse, their margins weren't, their bottom line wasn't anywhere near Chefs' Warehouse. But over the next 5, 10 years, we continue to -- it was a great company. We're changing the way they go-to-market. We're selling more and more independent restaurants. We're starting to add Chefs' Warehouse products to their trucks and that's really the March. And you've watched us do this year -- for many years right now.  And as we grow --- as we did in New England, New England was similar, we bought Sid Wainer, a great company, great people and we kind of shrunk their business and we're growing them more as a Chefs’ Warehouse with more of our products on their trucks and they're starting to look more and more like a Chefs' Warehouse, right? They're marching towards the EBITDA margins that we expect in our businesses. And I think that's what you're going to start to see in Texas and in most markets where we've made these investments.  So, it's pretty exciting times. I always look at it as we own a bunch of stadiums and the stadiums are doing great and you have to add more seats to do more business. And as you're adding and building those seats, it costs money. It's a drag on your overall percentage when you look at your capital. But as the stadium seats start to open and you start to fill them, you start to get a great return on your investment. And I think that's the way we look at it.
Operator: Our next question comes from Peter Saleh of BTIG. 
Peter Saleh: Congrats on a strong quarter. I didn't want to ask about, I think in the past we were talking about how some of the less mature markets like Texas and/or Florida, your customer buys less of their needs from Chefs' versus some of the more mature markets like New York City. Are you starting to see some evidence now that given the investments you guys have made and some of the organic growth that you're seeing, some of these customers are starting to tick up their purchases from you in terms of their needs? Is that percentage of their needs ticking up? Are you seeing any evidence of that?
Chris Pappas: Thanks for the question, Peter. Yes, absolutely. I couldn't be more optimistic than I am right now that things are going as planned. Everything takes a little time, right? You got to get your systems in, the warehouse set up and we are still in the first inning. But Florida is growing at a very rapid pace and every day we are selling more and more items to the customers that we had as we start to fill up the warehouse. Florida is going to be top four markets over the next five years and so is Texas.  Texas is taking a little longer because we didn't have the facilities. We're operating at a multiple facilities right now, as we're starting to figure it out. You got Austin, you got San Antonio, you got Dallas, you got Houston. It's a very large place. It's a country in itself. But every day the team is making headway as sales people start to get comfortable with the thousands of items. Even though we hire a lot of chefs who understand food, it's really understanding how to go-to-market, sell against your competition. But the reason we've made these investments is we are so encouraged to see the reception we get, when we start to enter a market and you're hitting on two probably of our big long-term growth markets, Texas and Florida. And absolutely we're starting to sell more items to these customers.
Peter Saleh: And then just, Jim, are there any calendar shifts or anything that we should be aware of in the first quarter that might be beneficial or detrimental to the business? And then just on the inflation, I think you guys said, maybe a low to mid-single digit expectation for this year. Is there any sort of change in the cadence first half versus second half? I know you guys don't like to really forecast out the inflation. I'm just trying to understand if there's anything that we should be thinking about higher or lower in the first half on inflation?
Jim Leddy: Thanks, Pete. In terms of the first quarter, there are no significant calendar shifts that really come to mind right now, so nothing to really call out there. In terms of inflation, once again, we build it into the range of our guidance. The range of our guidance incorporates potential variability on volume due to macro demand, which we don't control and due to price, which we don't control as well, but we adapt to as we move through the year, whether it's trying to hold price in a deflationary environment or managing the customer and the price in an inflationary environment. So, I think again, it's just incorporated into that range of the guidance and we adapt and manage as we move along. 
Operator: Our next question comes from Ben Klieve of Lake Street Capital Markets.
Ben Klieve: Just one question for me. Throughout call, I appreciate your comments about kind of focusing on integration of your legacy investments and acquisitions and throughout '24. And my question to you, Jim, is again, in this context where you're really focusing on what you have already done and integrating these investments, what remains compelling to you in a potential acquisition that you could potentially still make in 2024? Are there kind of high-level characteristics of an acquisition you could look to make in 2024? Or is you feel really kind of off the gas here for the balance of this year?
Chris Pappas: Yes. Thanks for the question. Again, Chefs' being the little guy of the all the public companies that were measured against. We had to acquire to get the footprint and now the focus has shifted on we've created by the end of the year, we'll probably have 60% more capacity, so the focus is on hyper charging organic growth. And of course, we're always opportunistic. We've always been opportunistic. So we're not looking to do anything major in new territory and we've already stated what our CapEx forecast is going to be. So we're focused on creating more cash, pay down some debt and maybe buy back shares, but there's a great fold in which could speed up some of the -- and that we don't want to fill up all our capacity that's why we build it, we want to grow into it.  But some of these little tuck in acquisitions could be extremely profitable and help us on our march to our EBITDA goals. So we're always looking, people are always calling, but the real focus right now to drive the organic growth because we have -- we finally have good capacity in a lot of our new major markets like we've said Florida and Los Angeles, our new processing facility is opening in San Francisco, hopefully in this quarter and we're going to consolidate a whole bunch of businesses into one state-of-the-art facility. So, we got a lot of exciting things happening in the next year and two. 
Operator: We have reached the end of our question-and-answer session. We'd like to take a question from Ben Klieve.
Chris Pappas: Yes. Thank you for everybody for joining our call. I couldn't be prouder of the team at Chefs' and what they're accomplishing. We look forward to many, many great things from this team and look forward to everyone joining our next call. Thank you very much. Have a great day.
Operator: Thank you very much, sir. Ladies and gentlemen, that concludes today's event. Thank you for joining us. You may now disconnect your lines.